Unidentified Company Representative: Hello, and welcome to IBA's Half Year 2024 Results Conference Call. All participants are currently in listen only mode. The question-and-answer session will follow the formal presentation. And I will now hand over to Olivier Legrain, Chief Executive Officer of IBA.
Olivier Legrain: Good afternoon. And thank you for joining us on today's call where we will talk about the H1 results. I'm joined today by Henri, our Deputy CEO; and Soumya Chandramouli, CFO. Before we start, I would like to draw, as usual, your attention to the company disclaimer on forward looking statement. Here is an overview of our call today. I will start with a summary of IBA's performance and progress in the first half of 2024, as well as the performance of the Proton Therapy and Dosimetry businesses. Henri will then share an update on other accelerators, including PanTera. Soumya will then provide commentary on the financials before finally I will talk you through the outlook and then open the line for questions. It is a snapshot of our key financials. I'm pleased to report that the group revenue increased by about 22% to EUR206.5 million, driven by accelerated backlog conversion and growth in services. The group REBIT was EUR0.04 million, which is a strong improvement on the same period last year. Group order intake was strong at EUR113.9 million with a particularly strong first half for other accelerators. Despite the acceleration in converting the backlog, overall group equipment and service backlog remains quite high at EUR1.4 billion. Our balance sheet continued to be healthy with EUR60.2 million gross cash and EUR21.7 million net cash position at the period end, providing us with stability and the flexibility we need to operate. This slide will be familiar and show you the key statistic to [Indiscernible] out here is the completion of our B Corp recertification, which has seen our score increase to 114 points, placing us in the top tier globally. We continue to make excellent progress across these four sustainability streams and we'll provide updates on significant milestones as they arise. I will now hand over to Soumya who will give you some context on top line financial from the first half. Soumya?
Soumya Chandramouli: Thank you, Olivier. Hello, everyone. So the next few slides outline some important figures for the half year 2024 results. We'll start with revenue, and as you can see, we achieved double digit revenue growth for the second time in a row, driven by accelerated backlog conversion. Other accelerators on their side had an excellent first half with 70% increase in revenue, Proton Therapy also saw growth, while Dosimetry had a slightly more challenging H1 that we'll discuss a little bit later. Next, let's take a look at order intake. Order intake for the first half is quite encouraging, albeit a slight decrease on last year. It's worth noting that Dosimetry have had an all-time record in terms of order intake in H1 2023, while this year it was other accelerators that is a top performer. And finally, proton did show a modest first half but post period we announced a deal for two ProteusONE solutions with UPenn, bringing us to a total of three rooms sold to date. Now moving on to backlog. The overall group backlog remains high, as Olivia said, at EUR1.4 billion, and you can see here the breakdown across the business and how it compares to previous years. We have been pleased that the rate of conversion in H1, particularly in Proton Therapy and other accelerators and we continue to remain committed to keeping up this good pace of backlog conversion over the second half and beyond. Let's take a look at the key figures for H1. I’ll pick out just a few things here. REBIT reached break even reflecting improved gross margin and that was really thanks to strong backlog conversion, but also continued growth in our service revenues. We are also reporting a net loss now of minus EUR10.3 million, which represents an improvement from last year, quite a strong one actually. And along with the positive net cash position, we maintain EUR60 million in overall short term credit lines as of the period end. And I hand back to Olivier as we look into each of the business areas.
Olivier Legrain: Thank you very much, Soumya. Let's move on now to a deeper dive of the Proton Therapy business unit. Proton Therapy currently has certified projects under construction or installation, including good progress on the major Spanish and Chinese projects. Equipment revenues increased by 20% with particular progress on shipments and installations. Order intake of EUR35 million is mainly comprised of contract of a ProteusONE system with Yale New Haven Health and Hartford HealthCare with activity continuing post period as we secured the memorandum of understanding with our long standing partner, the University of Pennsylvania of two side-by-side ProteusONE solution. During the period, we were also pleased to attend the inauguration of the CGN state-of-the-art factory in China for the production of ProteusPLUS equipment to support further inroads into that geography. On the research front, the result of a multi-centric phase 3 Proton Therapy trial in the head and neck were presented by doctor Frank, of MD Anderson at ASCO. The result showed evidence of reduced side effect with Proton Therapy compared to standard of care. Elsewhere, IBA continues to progress research on DynamicARC and ConformalFLASH in conjunction with collaborators, including Corewell Health and Penn Medicine, which are paving the way for future innovations and maintaining our competitive edge. Our Proton Therapy equipment backlog stands at EUR473 million with a global pipeline of project as outlined on this map. IBA continues to lead the Proton Therapy market, securing 50% of new Proton Therapy sales in H1, which actually goes to 75% market share if we include the sales announced this week. We know all the 43% share of Proton Therapy room currently in operation globally and a 42% overall market share. Proton therapy order intake in H1 that was EUR35 million boosted by the sale of two ProteusONE post period as we have discussed. Revenues increased by 13.3% during the period, driven by strong backlog conversion, cost improvement and growth in service. The almost 20% growth in equipment revenue was supported by the successful shipment of four units to customer in the US and [EMEA]. In particular, good progress was made on the construction of equipment for the 10 Spanish Proton Therapy machine and on the project under installation in China. Two new installations also began during the period. Service revenues grew by 8.8%, boosted by the three sites that began operation in 2023 and several major contract renewals. Favorable foreign exchange rate impact also contributed to this growth. REBIT improved to minus EUR10 million, benefiting from a better project mix, accelerated backlog conversion and growth in service, reflecting the stabilization of project cost and better margin management. Moving on to Dosimetry. We continue to make good progress against our objectives. In particular, the completion of the RadCal Corporation marks a significant expansion of the team's medical imaging quality assurance portfolio, as well as its US presence. Taking a more detailed look into Dosimetry performance. IBA was pleased to secure EUR31.5 million in order intake. Backlog remains high with a slower start to the first half [Technical Difficulty] [conversion] is expected to accelerate in the second half. Wider macro factors continue to impact Dosimetry, leading to the decrease in revenues in the first half. China's anti-corruption program has led to slower decisions from potential customers. In addition, IBA has not been immune to the wider MR LINAC market volatility. Dosimetry has seen an associated decrease in REBIT, further exacerbated by inflation in Germany. I will now hand over to Henri to provide an overview of other accelerator performance during the first half of the year. Henri, to you.
Henri de Romrée: Thanks, Olivier, and greetings, everyone. We are pleased to have sold 14 machine in the first half, up from eight machines in the same period of last year. RadioPharma sold a Cyclone IKON and a Cyclone KEY during the period, continuing to demonstrate the successful market adoption of these novel machines. I will go into more depth on PanTera progress shortly. The Industrial business has seen a particularly strong period with revenues up 200% as the backlog converted and we continue to develop our software capabilities with initiatives, such as BeIn or digital portal that will pave the way for more predictive maintenance of our systems. On to the next slide [Technical Difficulty]. We thought it would be helpful to outline more on the PanTera initiative, a joint venture between IBA and SCK CEN. With recent sector deals outlined in the top right of this slide, the radiopharmaceutical market is growing in prominence across media and the market. You will see here a powerful infographic based on the data from the Financial Times on the potential size of this market by 2032. PanTera is specifically focused on the supply of actinium-225, an isotope with tremendous potential in oncology therapies, yet with a critically limited supply. PanTera is making progress on its ambition to become the leading global supplier of actinium. To date, four agreements have been signed for early supply, including with Bayer. PanTera partnership with Terrapower is progressing well with the first shipment of [thorium-225] completed, which will in turn support the production of early supply levels of actinium The next key milestone will be the start of this early supply actinium, followed by the start in 2025 of the construction of a large scale commercial supply facility. Looking now at the financial performance of other accelerator in more detail, we are pleased to see revenue growing by almost 70% with equipment revenues more than doubling and an uptick in services, both strongly influenced by the growing Industrial business. The strong REBIT is particularly related to the conversion of high value backlog as well as growth in services. I now hand over back to Soumya to take you through the financial statements.
Soumya Chandramouli: Thank you, Henri. Now first, looking at the P&L. We've had a pretty good first half. Group sales grew by almost 22%, driven by accelerated backlog conversion in Proton Therapy and other accelerators alongside services growth across the board in all businesses. Gross margin increased to 33.8%, an improvement of more than 7% as the proportion of other accelerator revenues increased and PT project costs stabilized with a few minor one offs, a few positive minor one offs. Overall, OpEx increased in line with expectations with a planned increase in selling and marketing and R&D expenses as the group continues to invest heavily in future growth. G&A expense line was limited to inflation while R&D rose to around 13% of top line. Other OpEx were also impacted by some internal reshaping expenses and the cost of deployment of some major software suites that cannot be capitalized anymore under IFRS. The continued hyperinflation in Argentina drove FX losses and strongly impacted the financial expense line. It's worth noting that the share of loss of equity accounted entities included PanTera for EUR1.1 million. From a tax perspective, our tax level dropped to more normal levels after some one-off items in 2023. As a result of all this, IBA reported a net loss of EUR10.3 million compared to a net loss of EUR27.3 million in 2023. Moving on now to cash flow. Operating cash flow of minus EUR60.7 million was driven by an increase in inventory and down payments to suppliers as a result of the acceleration of backlog conversion we already discussed. It also included a large receivable that was paid out just after period by the customer. Including this payment, operating cash flow would actually have been more than EUR20 million better than reported at period end. Cash flow use in investment activities increased to EUR10.8 million, driven by the acquisition of RadCal Corporation and a convertible loan to PanTera partly offset by decrease in normal CapEx for around EUR4.4 million. Cash flow used in financing activities reflects the dividend paid on 2023 results and prepayments on debt. It also includes cash received through a credit insurance claim that was repaid to the insurance company immediately after period end following repayment by the customer of the related overdue receivable that I just mentioned above. Finally, on the balance sheet. While IBA’s balance sheet remains solid at the end of the first half with EUR60 million gross cash and EUR21 million net cash, the reduction in our cash position is really in line with our expectations and a result of the temporary increase at working capital as we continue to procure inventory for our ongoing contracts. In particular, some large projects such as a Spanish 10 room ProteusONE project and several Industrial projects. It's worth noting that IBA also had EUR60 million of undrawn short term credit lines still available and all bank covenants have been complied with. I will now hand over to Olivier to speak about guidance and outlook.
Olivier Legrain: Turning now to outlook indeed. Looking ahead, we remain confident about performance for the remainder of the year and beyond. We expect continued strong revenue growth and margin improvement alongside highly active pipeline across all businesses. We are reiterating our midterm guidance today as laid out at the full year and note that we are making strong progress towards meeting this midterm guidance. The strong revenue growth in the first half reflect IBA’s commitment to the acceleration of backlog conversion. Improvement in REBIT compared to the same period last year highlights this revenue growth and also the margin improvement. Looking at our aim, to approach 10% of REBIT margin by 2026, I would like to touch upon how we plan to achieve this. Number one, in Proton Therapy our high backlog and accelerated conversion will be reinforced by the market momentum helping to grow our top line. Number two, at gross margin level, this will be supported by growing our client base and service profitability. Number three, while we will continue to see an increase in OpEx as we grow, we expect to be able to leverage the scale at the fast growing activities. Number four, it's Dosimetry we expect to continue to see a very active market alongside a more diverse mix of our portfolio to positively contribute to the group REBIT margin. Number five, I think in order accelerator, we expect continued strong growth with profitability levels maintained. And finally, the company remains on track with CapEx guidance with EUR4.4 million of CapEx spends in the first half of 2024. As a result of this, we reiterate our outlook at this time. Finally, here is a look at the key dates on our financial calendar for the rest of the year. We're looking forward to attending ASTRO and EANM in September and October. We are also planning a Capital Market Day in the second quarter of 2025, and we’ll share more detail in due course. Also, a quick heads up that Soumya will be taking a well earned [indiscernible] [break] for a few months, but will be back and running ahead of full year results from January 2025. During this period, for any investor relation needs, you can, of course, reach out to [Indiscernible], who has been supporting investor relation. For anything else, you can, of course, always contact [Technical Difficulty]. I would now like to open the floor for question. Please raise your hands to ask a question and we will call you by your name.
A - Olivier Legrain: The first question, Mathias, to you.
Mathias Maenhaut: I actually have three, I will go by them one by one, if that's okay. So first and foremost, the gross margin, which increased [7 and plus] basis points to 33.8%, it was driven -- or you mentioned driven by an increase in the proportion of other accelerators revenue, improvement of project costs, estimates and a better mix in PT. Could you maybe elaborate on the importance of those different elements? And what should we expect on that front for H2 also buckling down on your outlook statement in which you say you anticipate a similar improvement in H2. So should we anticipate gross margin in H2 also to improve markedly, or is that not necessarily the case? That will be my first question.
Soumya Chandramouli: So first of all, if you look at the overall improvement of margin, I can explain a few factors that have contributed. Indeed, firstly, we've had practically a doubling of our revenue in the Industrial business and that is at good margins, higher than the average margins of the group, and that has contributed positively to growth of the gross margins. Secondly, also because the volume itself has led to operational leverage on the costs that can be allocated to that business. Secondly, in the proton business what we've seen is that after a couple of years of inflation and supply chain issues where we had integrated a few buffers into our cost estimates on projects, we are seeing them coming back to normal. And so we have adjusted our overall project costs downwards maintaining a few buffer still. And that has led to, on the one hand, a small catch-up effect from the past where we actually now readjusted the project margins and on the other hand, we will continue going forward to recognize our revenue at higher margins. And then there are a couple of smaller one-offs which may have -- which have affected the first half, which could potentially also add a few million of extra margin, I would say. So overall, if you look at these three impacts, these are really what have contributed to the increase from last year to this year. And we expect that the overall margin levels that we have now will be maintained, maybe slightly less because we had a few one-offs but should remain in this area going forward.
Olivier Legrain: Thank you, Soumya. You can go on with your second question.
Mathias Maenhaut: Maybe just buckling on the book-to-bill, because the book-to-bill in equipment sales, it came in below one, I also saw order intake is lag a little bit on a cyclical low. Should we, hence, anticipate that the growth going forward for next year will peter out and how should I tally that with your midterm guidance? And also, could you maybe give us a little bit of a view of what's happening in the market for Proton Therapy?
Olivier Legrain: I think if you were to take a picture now, the situation will look very different after the order we just got from [indiscernible], which basically will show then a much better ratio and what a cycle in Proton Therapy, although, six months, I don't think is a cycle. 12 months is more relevant, in my opinion. And I think the latest order, which is a memorandum of understanding but with a significant nonrefundable down payment, it's showing that the market is very active. So coming back to your question on the dynamism of the proton market, I think the pipeline looks pretty good. Our competitive positioning has improved over the year and certainly since [volume] led the market. And so we're very well positioned to continue to build a book-to-bill that will fuel the future growth. And once again, if you were to calculate it today after the order intake [indiscernible] [different].
Mathias Maenhaut: So you anticipate to be able to announce more deals in the second half?
Olivier Legrain: Yes.
Mathias Maenhaut: And maybe last question is on the working capital requirements, gone up quite substantially. You mentioned supply down payments and inventory buildup. Could you maybe elaborate on how much of this inventory buildup is actually tied to execution of the present order book and how much of that inventory buildup is actually tied to future contracts that you still anticipate to sign? And then maybe specifically on the Spanish contract, where do we sit in terms of working capital requirements? And when do you think, actually, overall, that you can translate to better profitability and free cash flow generation from an operational perspective?
Soumya Chandramouli: So Mathias, I think you remember we had said when we had spoken last that the Spanish contract has quite a big impact on our overall working capital, because on most contracts we receive around 20% to 30% down payment. On this one, it was only 10%. So on 200 million contracts, you can imagine, you can make a quick calculation, 20%, that's more than EUR40 million of cash, which was not received upfront. Secondly, there was also a second payment that is usually made a little bit before shipment and in this case, is upon shipment. So that also leads to an additional cash flow gap, let's say. So overall, we're probably trailing behind by more than EUR70 million in terms of cash generation versus what we have in a normal cycle. Indeed, as you also mentioned, we have quite some order intake happening both in Proton Therapy and in other accelerators. And so we have been financing that so that we can make sure that we have sufficient inventory to allocate to our contracts. But I would say that, that amount is much lower, we're probably speaking around EUR20 million to EUR30 million of inventory related to that over the past 12 to 18 months, I would say. So what we do expect is that we will continue to use up cash as we build up inventory and procure equipment for the systems I just spoke about earlier. We should go into a net debt position probably by year end or early next year. And then it will take 2025 where we will actually start to deliver these machines and start installation, get the cash from our customers to come back into a positive situation.
Olivier Legrain: Next in line is Laura. Laura, you can unmute, and good afternoon.
Laura Roba: Congratulations on the results. A few from my side as well. First of all, how do you look at backlog conversion for H2? Because in the press release, you mentioned 19 systems to be installed in other accelerators still, but I was wondering what about Proton Therapy, what does the backlog look like there? And then a bit related to that, you said that you still expect this year to be H2 weighted. Last year, H1 was a miss. So I was wondering to what extent we can assume a similar kind of catch-up in H2 versus what we have seen last year? And then a last question on other accelerator and the order intake there. Did I understood correctly that order intake this -- in H1 was mainly RadioPharma systems? And so I was wondering what we should expect in H2 given that you expect a catch-up of Industrial Solutions, but then what about RadioPharma, do you still expect to see the same level of order intake as we have seen in H1?
Olivier Legrain: So on the backlog conversion in Proton Therapy, we are gearing up indeed. So we will continue to see an increase of the backlog conversion every six months. So we don't really specifically guide but we'll see a higher backlog conversion in H2 this year versus H1. And we can expect to see even more next year in 2025 to reach our altitude, as I call it now in 2026. Maybe Soumya, on the second question?
Soumya Chandramouli: Sorry, Laura, could you just repeat it…
Laura Roba: It was about the fact that you guided again for the year to be H2 weighted. And last year, H1 was a miss so we had a huge catch-up in H2. And I was wondering to what extent we can expect a similar kind of catch up or if it would be lower this year?
Soumya Chandramouli: Well, last year, it was minus 20, plus 20, but if it's zero, it's [Multiple Speakers]. But I mean jokes apart, I think we do expect H2 to be better than H1. We mentioned there should be more backlog conversion in Proton Therapy or we will comment just after this on the investor relations. But I do think that if we maintain our OpEx levels in control as they have been very much so in the first half and have continued backlog conversion and top line growth in H2 then we should be able to do better than the zero we did in H1. Since we don't give any specific guidance on 2024, I can’t tell you much more than that. But I guess that's -- yes, that's a signal.
Henri de Romrée: Laura, on a full year basis, we see strong commercial momentum in other accelerator. It's a fair observation to say that in the first half, we have converted more of that potential in RadioPharma than we have in Industrial. What we expect for the rest of the year is continued strong momentum in RadioPharma and acceleration in the scale, because we knew starting the year that our pipeline was rather back end loaded in Industrial.
Olivier Legrain: Next in line is Michiel Declercq. The floor is yours. Good afternoon.
Michiel Declercq: So a couple of questions from my end. I will maybe do them one by one. First one is a bit of a technical one. Just on the net cash position that you reported, so around EUR21 million. I think if I use your -- the historic formula, I drive a bit of a different number and I think this has something to do with the change in short term borrowings and those insurance payments. So I'm just trying to figure out because if I do the calculation, I come at a roughly flat net debt level?
Soumya Chandramouli: I'm not sure what you mean, but we can try to get it offline. But just so to clarify, on the insurance claim, which was mentioned indeed, it didn't have any impact on the H1 numbers because we received the cash from insurance company in H1. And then just after period close, we were paid by our customer, and so we reimbursed the insurance claim and maintained the cash from the customer. So it was completely neutral. But if you want to go into a little bit more detail, we can do it offline.
Michiel Declercq: And it's just if I deduct from the cash, the short and long term debt and the lease liabilities, which is your definition as well…
Soumya Chandramouli: I see what you mean. We can just take it, maybe there were some exceptions we had to adjust for [Multiple Speakers] look at that with you separately.
Michiel Declercq: Secondly, on the gross margin. So you mentioned that the level of H1 is expected to be -- remain broadly stable going forward. However, how I would look at it is maybe that in the second half, your proportion of Proton Therapy will increase. So I'm just wondering how that will -- how that will play out, how the lower margin in Proton Therapy, for example, could then be offset by something else just to understand this a bit better?
Soumya Chandramouli: So as I mentioned, I think -- I mentioned there were a couple of one-offs in the first half. But what -- maybe one thing which also I forgot to mention was that we also had a slightly lower margin contribution from the Dosimetry business in the first half because of the lower revenues. So what we should see is that one should compensate the other in H2. I'm not sure what you meant by the lower Proton Therapy margin because as such going forward now we should continue to recognize revenue on the reviewed projects at the higher gross margin that we've had in H1. So overall, indeed, I think all of this should contribute to maintaining margins slightly at this -- more or less in the same level as H1 or maybe just slightly below.
Michiel Declercq: I think a final question that I have is on the PanTera JV. In the press release, you still reiterated that you expect to start the groundbreaking of the large production facility in 2025. If I'm not mistaken, you mentioned that the project cost of this would be somewhere around EUR100 million and that you were looking to maybe attract a partner for that, given that we are already getting closer to the year end. I was just wondering if there is no partner by, let's say, early 2025, how would you finance the operation then? Would you do some cash injections in the JV yourself or would you maybe prefer to delay the project altogether given that you're also a bit constrained with your working capital at the moment?
Soumya Chandramouli: So first of all, I think PanTera is really very much on track from all angles. You've seen that we've had quite some commercial inroads. We've signed several contracts with pharma, several of them, large pharma. We've also brought in the first shipments of thorium into Belgium to produce the early supply and the construction of the early supply unit in [indiscernible] really completed. And indeed, the construction of the large scale facility will cost more. I don't remember having mentioned that around specifically, but certainly, it's a large amount. On the other hand, right now, we're really evaluating various options for PanTera and we will inform you when we know exactly where we are and which option really provides the biggest value for PanTera. So for now, no issues and no delay on the plans that we just announced.
Michiel Declercq: Maybe just a small follow-up on that. I'm just wondering on the TerraPower deal that you currently have, I understood correctly that no actinium has been delivered from your end and you already received it from TerraPower. But is this in the period ‘25 till 2029 then when your small scale production facility is up and running, will this be a positive contributor to the equity [indiscernible] line or will it be a drag? And is it more in, let's say, preparation and getting your foot in the door or should it be negligible?
Soumya Chandramouli: Well, it's a bit of everything. So it certainly getting up within the door is an important portion. Olivier if you may want to comment in addition. But just from a financial standpoint, we expect that PanTera will quite fast start to generate some positive impact for IBA, I mean, at least from a purely PanTera P&L standpoint. Now certainly, the amount of that positive impact will depend on the amount of sales that will be generated by PanTera on its early supply but we are well on our way to getting there certainly for now. But you're right, the actual really major impact from a P&L standpoint will come once the commercial supply will be on its way from 2029. Olivier, I don't know if you want to add something?
Olivier Legrain: David, you are next in line, you can unmute. Good afternoon.
David Vagman: So first, if you can come back, please, on the gross margin and the improvement of the project, in particular, the improvement of the project cost estimate. So can you very roughly quantify the impact of this [backlog conversion]. And so remind us if you had the opposite impact last year. So basically that we have, let's say, kind of -- you had a negative impact last year from a [backlog conversion] and this year, a positive impact? That's my first question.
Soumya Chandramouli: So I mean, I don't want to give any specifics on it. But indeed, last year, we had two impacts. Firstly, indeed, we were recognizing revenue on a lower percentage basis on these contracts. And you remember last year, we had a very large inflationary impact in Belgium where half of our employees are based and we had more than 11% inflation on salaries. So that had a really big impact overall on our P&L and specifically on our margins. So this year, we revised our project cost down and I would say it's had a couple of percent impact overall in terms of improvement. But because we'll now continue to generate revenue and margin at the same level as revised margins and we should be able to catch up and continue on that level.
David Vagman: And I guess a quick follow-up on this one. I guess, going forward and especially taking into account the 10% REBIT margin guidance for 2026, that we should expect several percentage points of further improvement in gross margin from like this year to 2026, that is correct?
Soumya Chandramouli: Well, again, achieving the REBIT margin is a combination of gross margin and OpEx, and I think Olivier mentioned it earlier, but we maintain our OpEx pretty much under control. And while we expect that our top line will double that will generate an absolute value of higher gross margins. So if we're able to keep our cost under control, which we plan to do, that will also kind of contribute. So it's not just the gross margin. It will also come from the overall absorption of OpEx by a larger gross margin and absolute…
David Vagman: And my second question is actually -- it's a good follow-up, let's say it’s on OpEx. Can you quantify a little bit more, let's say, a bit more in detail our your guidance of OpEx well under control for the year 2024. So when we look at H1, I think you had sort of soft guidance in [indiscernible] [R&D], for instance, of let's say, the higher end of the 10% to 12% of sales range, so let's say, 12% for this year. Is this still valid and kind of this type of element? And also a bit related to OpEx, but we had some recurring -- nonrecurring, let's say, or exceptional expense in H1. Should we expect more of that in H2? That's my second question.
Soumya Chandramouli: So if you look at R&D overall, we should expect it -- we did around 13% on top line in H1, and I think maybe we'll go down slightly to around 12% or so. But okay, that will be -- that's more or less where we expect to land. So I think you should expect that it will be more or less the same amount, maybe in the same range for H2 in terms of R&D. In terms of the overall OpEx, I think we should remain very close or just maybe slightly above H1 for H2, because we do see that sales and marketing expenses, for example, are slightly H2 skewed, because all the trade shows and we mentioned ASTRO, EANM, et cetera, happening in H2.
David Vagman: So higher than -- sequentially higher, but not too much?
Soumya Chandramouli: No, I think maybe slightly higher. But as you mentioned, you’ll also have more backlog conversion, so one should compensate the other.
David Vagman: And last question, a more general question on the demand side. You've addressed the point that the pipeline was well filled or active pipeline. Can you comment, let's say, maybe zooming on PT and other accelerator? What is your view? Maybe not just for 2024 but also 2025, 2026, taking into account that you've got, of course, this 15% top line CAGR ambition. But then the question is also what's next. So of course, you've got this very large Spanish contract. But once the Spanish contract is executed, would you fear a drop, let's say, if the order intake does not move substantially up from here where it is?
Olivier Legrain: So there are different drivers, of course. And if I start with Proton Therapy, I think the pipeline is quite easy. We know that unpredictable and volatile it remains, but I would say the overall dynamic in the market is very positive. If I can just comment a few seconds on the [Penn] order, I think this is quite a milestone, in my opinion, because it's one of the thought leaders that is contributing to the expansion of the Proton Therapy as a modality. And to see them adding such a capacity is a very strong sign of their commitment to Proton Therapy and many people are looking at them. We see -- and by the way also the fact that they bought a double [ProteusONE] and is also a confirmation that our strategy to go on the market, focusing on the single room way to go about it is the future. So the future of multiroom outside of China, let's say, is a multi ProteusONE and to see a big player like Penn going into this, embracing this vision as well is a very strong sign of the quality and the strength of our value proposal. And so it's kind of showing the way and as I said, many people are looking at them. So now we have with ProteusONE very versatile product that can answer the single room segment but also the multi-room segment once again outside of China, for sure. So that's number one. And we are in conversation with many institutions that have already Proton Therapy and want to expand or some others that are not in Proton Therapy and want to move into the space, because they fully understand that it's part of the future when it comes to oncology treatment. The other thing is it might seem a bit anecdotical, but it's everything, but anecdotical is this clinical trials that the result of the clinical trial published by MD Anderson, because in the history of Proton Therapy, the first standard is level one evidence of what we claim from a number of years, which is that Proton Therapy can control the tumor but also dramatically reduce the side effect. And by doing that, also better quality of life to the patient but also reduce the cost of the overall management of the patient, so to speak. So suddenly, you have level one evidence that Proton Therapy is not expensive, because with reduction of side effect, it's cheaper to treat with Proton Therapy, even though the treatment is more expensive. The overall cost of the patient management is less expensive than many other ways to treat it. So it will take some time to spread around and there is more and more trials going around, but I think through this publication the medical relevance of Proton Therapy went up dramatically. And therefore, we see a number of projects that we have in the pipeline is actually very significant and not decreasing. It depends on the jurisdiction, certainly US is very active. Israel is very active. China is very active. Europe somehow is -- we expect to see more project in Europe as well in some jurisdictions. So I think the signals are quite good and it will be enough to continue to fuel some growth. So back to your question, no, post delivering the Spanish older, I don't expect to see a drop. It will be fueled by new project and of course, by service growth. We are still going to -- I think it's about doubling the installed base in ProteusONE when we'll deliver the backlog that we have secured. So it will also offer a very nice platform to continue to grow post 2026. And for the other division, maybe Henri, you want to comment as well.
Henri de Romrée: I think if I look at Industrial Solutions, in a few words, I would simply say that we see indeed increasing commercial momentum on the back of greater adoption of accelerator based technologies for sterilization. And also from where I sit, I'm very confident on that development. And if I look at RadioPharma Solutions, I'm equally enthusiastic about the commercial prospect as we are able to cast a quite wide net. We have a wide range of machines that can deploy for a wide range of applications, diagnostics, theranostic, in diagnostic, oncology, cardiology, neurology. And I see that with a range of machines, we can cast as well a wide net from a geographical point of view, we can serve lower income market as well as very sophisticated advanced markets. So those two elements are probably commercial dynamics that are supporting our commercial development. Maybe the last one is more longer term but I see new applications emerging, and we have briefly touched upon it. But water treatment is one as we bake the next chapter that shows promising signs and will contribute to our growth momentum for the next horizon.
Olivier Legrain: There's a follow-up question from Mathias.
Mathias Maenhaut: Yes, I still have a couple. Maybe on the execution of the backlog in PT. Historically, this has incurred some delays. Could you maybe give us an idea how you assess the risk of delays at this point and why? And following up on that question, if I look at the Spanish contract, a lot of the payments are skewed towards the end of the contract, so it's acceptance and delivery, I believe. Should we see those contracts, so these different rooms as separate contracts? And so each time the delivery is separate or is it just one large contract, given that it's actually one large buyer. And so do all the rooms need to be delivered and accepted before they will be [paid]. That was my first question.
Olivier Legrain: Don’t worry, I will not cut you out. But you [Technical Difficulty] the Spanish contract, the payment are linked to every single room. So every time we ship one, we'll get the payment. So it's not in one go. And from what we see, there is a significant progress on their side, on the building of the different facilities. So we are reasonably confident that we will be able to deliver a significant amount of them starting in the quarter for next year. So it will be spread across quarter four next year 2026 and maybe a system will be in '27, but not more than that. And every time we ship [Technical Difficulty] will be paid.
Mathias Maenhaut: And for the overall order book, if I may ask, how do you assess the risk there? And why are you probably more comfortable that there will be less delayed than previously you had when you had like record order books for execution?
Olivier Legrain: I think the short answer to this question is that we slowly have almost only ProteusONE and except for a few Chinese order, we don't have any in ProteusPLUS in the backlog. And most of the ProteusPLUS, if not all the ProteusPLUS that we have in the backlog, they have started installation. So a lot of the volatility from the Proton Therapy segment was coming from ProteusPLUS, which was less [Technical Difficulty] but much less, which makes me more confident about the prospect of backlog conversion, a big thanks to that.
Mathias Maenhaut: And then maybe following up on the level one evidence and you clearly stated that this is potentially or is a big news, because it proves that PT can be very competitive with traditional [indiscernible] despite a higher initial cost. But I just want to buckle down on the levers you have to further bring down the costs. Could you maybe just elaborate on how many levers there are, and what is the progress on those projects?
Olivier Legrain: I think the biggest lever we have is on the workflow. I think the more shorter, let's say, the treatment will take the more patient or customer we’ll be able to treat or that we’ll be able to take our revenue. So that's why hypofractionation, dynamic even FLASH to the ultimate level is probably the biggest levers to actually increase the throughput in our center hence improving the -- reducing the cost of the treatment. On the CapEx side, I think we can still improve but more marginally. I think workflow is a focus. And modalities, FLASH, hypofractionation, that's the way to go.
Mathias Maenhaut: Maybe last question then. You gave an indication that you probably will arrive net debt by the end of the year. Could you maybe just elaborate under which assumptions that's been done for motor intake? Because as far as I know, order intake triggers down payments. So I guess that also plays a role in your working capital requirements?
Olivier Legrain: That's correct. Soumya?
Soumya Chandramouli: Yes, indeed. Obviously, order intake has an impact. But I think the biggest impact -- so there are two things that can have an impact on this cash position. One is a Spanish contract where it can -- it will continue to have an impact depending on how much should we procure on that project. And the other one is the overall order intake that we will have in all our businesses, but of course, in particular, in Proton Therapy and in Industrial. So I can't give you an order of magnitude as such because we don't guide on specific order intake but indeed one way or the other, it could have an impact positively or slightly more negativity.
Olivier Legrain: We have one more question, we have David.
David Vagman: One follow-up on China. Can you comment a bit on the Chinese market and the -- maybe the regulatory environment? You've discussed also about the anti-corruption -- okay, so that's more on the market. Let's say, how do you see the PT market evolving in China? And then related to that, always the -- your partner progressing, let's say, what is the status of your collaboration with CGNNT, maybe technically and commercially?
Olivier Legrain: I think on the Chinese front, let's say, the new five year plan is, I think, load for 40 licenses in China. So it's a massive increase. So we can expect the market to grow significantly in China in terms of demand. So it looks quite promising. Our Chinese partner is gearing up. They have built a factory. As we speak, they have the first Cyclotron in their factory. It's a Cyclotron that we have produced here actually and they are taking over. So they're slowly taking over the production of it and they will start their first installation for the first contract they have sold, I think, is in October or November. So they are moving upstream to the -- being able to demonstrate that they can complete the project by themselves. Of course, we are supporting them to do that. And that's really the focus now is to make sure that this first project is a success for them so they can gain full credibility on the market. When it comes to [indiscernible], they are front line in the go-to-market in China. Of course, there as well we are there to support them. I think they are very well positioned to take a similar market share than IBA globally on the Chinese 40 licenses. And being said that, the 40 licenses part of it will go to Argon. So carbon heavy ion type of -- I think about 10 of this license will go to [indiscernible]. So it remains 30 licenses and some of them will be single room. So we expect CGN to be in a position to take leadership on the multi-room part of the licenses and we will be present as a lead then on the single room segment.
David Vagman: Thanks, very helpful.
Olivier Legrain: We have no more questions. So I guess I will close the call, and thank you all for joining today. Thank you, Henri. Thank you, Soumya.
Soumya Chandramouli: Thank you, everyone. See you soon.
Olivier Legrain: See you soon. Thank you very much, everyone.
Henri de Romrée: Everyone, take care.
Olivier Legrain: Thank you.